Operator: Good morning and good evening, ladies and gentlemen. Welcome to the Fourth Quarter and Full Fiscal Year 2013 Orient Paper, Inc. Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded, and that all participants are in a listen-only mode. With us today are Mr. Zhenyong Liu, Orient Paper’s Chairman and Chief Executive Officer, and Mr. Winston Yen, the company’s Chief Financial Officer. Orient Paper has announced its fourth quarter and full fiscal year 2013 financial results through a press conference – press release earlier and is available on the company’s website at orientpaperinc.com. Mr. Liu will brief you on the Company’s key highlights, operational and corporate developments over the fourth quarter and full year of 2013, and Mr. Yen will walk you through the company’s financial and business review as well as the company’s outlook and guidance. After that, there will be a Q&A session. Before we begin, I would like to draw your attention to our Safe Harbor statements. This announcement contains forward-looking statements within the meaning of the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact in this announcement are forward-looking statements, including but not limited to anticipated revenues from the digital photo paper business segment, the actions and initiatives of current and potential competitors, the company’s ability to produce – introduce new products, the company’s ability to implement the plant capacity expansion of corrugating medium paper, market acceptance of new products, general economic and business conditions, the ability to attract or retain qualified senior management personnel and research and development staff, and other risks detailed in the company’s filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimations and projections about the company’s and the industry. The company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectations except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that its expectations will turn out to be correct and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management’s prepared remarks and is now available for download from the company’s website at orientpaperinc.com. Please note, that there will be discussions on non-GAAP financial measure or EBITDA or earnings before interest, taxes, depreciation and amortization. Please refer to our press release for a complete reconciliation of EBITDA to net income. As a kind reminder, all numbers in our presentation are quoted in US Dollars and all comparisons refer to year-over-year comparisons unless otherwise stated. I would like to now turn the call over to Mr. Liu. Please proceed.
Zhenyong Liu: [Foreign Language] Good morning to our investors calling in today for our fourth quarter and full fiscal year 2013 Earnings Presentation. [Foreign Language] We have experienced a very eventful 2013 quarter-to-quarter. Nonetheless, we are pleased to have achieved satisfactory results with most of our figures meeting the high end or exceeding our financial guidance for the full year. [Foreign Language] In particular, we are pleased to announce that we are wrapping up the conversion works of PM1 into an insulation liner paper production line. The conversion project is looking at a completion months ahead of schedule, with a much lower cost than budgeted. We will launch the new PM1 production soon in the second quarter and we’ll be ramping up production in the months to come. [Foreign Language] 2013 is also an investment year for Orient Paper, having put in over significant investments to build our new business in the Wei County Industrial Park. Consequently, our leverage has increased, but even at a debt-to-equity ratio of 30% we are still maintaining a level conservatively well below the industry average in China. [Foreign Language] In fact, the Company’s Wei County project is well positioned to take advantage of China’s growing urbanization and development. Strategically located at the junction of Hebei, Shandong, and Shanxi Provinces, Wei County enjoys good transportation links with direct access to three national highways, and close proximity to the up and coming economies of the neighboring Tier 3 and Tier 4 cities. [Foreign Language] Later on in our presentation, we will share with you the progress we have made at the Wei County development. And I will now invite our CFO, Mr. Winston Yen to take you through the financial and business reviews, as well as our outlook and guidance before my interpreter returns to give you my closing remarks. Thank you.
Winston C. Yen: Well thank you, Mr. Liu. And everyone please be reminded that all numbers are in U.S. Dollars and all comparisons refer to year-over-year comparisons unless otherwise stated. The numbering system for our production lines is provided in our earnings press release and Slide 24 of this presentation. First, let’s look at the overall financial performance over Q4 and full fiscal 2013. Please turn to Slide 7. Total revenue for Q4 was $35 million, down 19%. For full fiscal 2013, total revenue was $126 million, down 17% mainly due to suspension of our PM1 for renovation and also production suspension from the mandatory environmental inspection during the first quarter of the year. Gross profit for Q4 was $7 million, up 8%, gross margin rose from 15% to 20%. And for our full fiscal 2013 gross profit was $23 million, down 14%, despite this gross margin improved slightly from 18% to 19%. Income from operations for Q4 was $5 million and operating margin was about 15%. While for the full fiscal year, income from operations was $19 million and operating margin also at 15%. Net income for Q4 was $4 million, up 75%. Net margin improved from 5% to 10%. This translates to basic and diluted earnings per share of $0.19. And for full fiscal year of 2013, we achieved full year guidance with net income at $13 million and then margin was 10% which translates to basic and diluted earnings per share of $0.71. Now moving on to Slide 8 on our cash position. As earlier mentioned by Mr. Liu, the year 2013 has been one of the intensive investment for the company. Due to our $60 million cash outlaid that being used to fund in new tissue paper business expansion and in infrastructure at Wei County. Our cash and cash equivalents were $3 million as of the end of 2013, compared to $13 million a year ago. I would like to add at this point, the company $50 million worth of capital expenditure already committed in 2013, for the Wei County project which is strategically located at and well positioned to be a base for future expansion for Orient Paper in addition to our Hebei Baoding. For fiscal 2013, the cash flow from operating activities reached a company record high to $30 million, of 35%. This has always being a strong quality of Orient Paper and we intend to maintain our cash flow to support our business expansion. We now take a closer look at our product segments, starting from CMP on Slide 9. In Q4, we generated $23 million for this business segment, taking up 66% of total revenue. Sales revenue reached 62,562 tonnes and the averaging – the average selling price was about $363 per tonne, slightly by 1%. For the fiscal year, revenue generated was $81 million, taking up 64% of total revenue. Sales volumes reached 217,136 tonnes. During this year, the new production line – PM6 contributed for all of the CMP sold as mentioned earlier. Our PM1 has been suspended for modernization since the end of 2012. Now turning to Slide 10 on our offset printing paper segment. In Q4, revenue generated was $10 million, down 11% representing 30% of total revenue. Sales volume were 50,469 tonnes, down 8%. ASP declined by 3% to $676 per tonne. And for the fiscal year, revenue was $40 million representing 32% of total revenue. Sales volume was 58,609 tonnes and ASP was $680 per tonne. Slide 11 provides a charge of our revenue mix, which has been shifting towards CMP which now represents 66% of the fourth quarter revenue and 64% for the full year. We will now move on to discuss our operational and business update. Please turn to Slide 13, for an update of our PM6 ramp-up. A key focus for Orient Paper in 2013 has been to ramp-up PM6. Despite the description of our – despite the disruption of our production in the first quarter due to the environmental inspection, we are pleased to report that we have achieved the total sales volume of 270,136 tonnes of CMP for the 12 months period an increase of 24% over total volumes of 2012. For the fourth quarter, the utilization rate was 70% and for December, we attained an utilization of 86%, which is the record high for PM6. For 2014, we will continue to ramp-up and are targeting to produce 220,000 tonnes to 240,000 tonnes of CMP in 2014. We now turn to Slide 14, to provide further information on our PM1 modernization. We’re very happy that the renovation will be completed in month ahead of schedule and the total rebuilding costs will be $6.8 million, less than half of the initial budget. To refresh investors again, we have been rebuilding PM1 to producing insulation liner paper which use as recycled paperboard as primarily a raw material. This is used to sandwich certain insulation materials as a construction material for walls and floors. With a designed annual production capacity of 50,000 tonnes, the new PM1 will be expected to commence production in the second quarter of this year. And we’ll bring in an additional revenue in the range of $7 million to $9 million in 2014. Next, let’s look at Slide 16, for our household and tissue paper expansion project. We target to low our production of tissue paper in the second half 2014, planning of PM9 our second tissue paper production line is also underway. If cash flow permits, installation will begin in the second half of 2014 and completion plans for the second half of 2015. We have also included the maintenance progress photographs from our Wei County side in Slide 17 for your reference. As you can see, the workshop, warehouses and other infrastructures for the household and tissue paper productions facilities are taking shape. With this, I would like to turn to outlook in Slide 19. Despite the mild economic recovery and the government’s continued elimination of outdated capacity, the consensus among industry analysts appears to be that paper ASPs in China may continue to stay at the same level as 2013. Environmental protection continues to be a top priority for the Chinese Government and where they expect an increase in the environmental inspections a more stringent requirements for manufacturers. On our part, we will continue to improve our system and process, including the vigorous scheduling of voluntary shutdown of operations for maintenance and enhancement to reinforce our dedication and full commitment to the environment. Although this will inevitably lead to increase cost and resources we believe this would advance the Chinese paper industry and benefit committed players like Orient Paper, while creating a long-term benefit for China and its people. In the meantime, Orient Paper has been progressively modernizing our facilities to expand capacity as well as improve energy-efficiency and environmental conservation, thereby positioning ourselves to featuring increased market share and establish our leadership in the industry. With this in mind, let me share our guidance for 2014 with you. Revenues for the full year of 2014 are expected to be in the range of between $146 million and $161 million. Gross profit to be between $27 million and $30 million. Net income to be between $15 million and $17 million, diluted earnings per share to be between $0.81 and $0.90. Now, Mr. Liu will give us his closing remarks. He will speak through his interpreter. Please turn to Slide 20.
Zhenyong Liu: Thank you Winston. 2014 is going to be an exciting year for Orient Paper. As we step up the investment and development in our new business expansion, hand-in-hand with prudent financial management we will start to see the budding of our new initiatives. Besides the ramp-up of PM6, which remains our top priority, we will launch PM1 in the second quarter and ramp-up production, as well as complete the installation of PM8 in the second half and commence operations. The urbanization of China, particularly in our target Tier 3 and Tier 4 cities are rapidly accelerating. And this will mean greater affluence and consumer activity that will spur demand not only for CMP, but also for the products of our new business expansion. For this purpose we are confident of the prospects of our new businesses and remain committed to executing our strategy which will be additional key revenue growth drivers for the company in 2015 and beyond. This ends our prepared remarks. We would now like to turn the call to your questions. Operator, please.
Operator: This concludes the management’s prepared remarks. At this time there. We would now open the floor for questions. In order to save time, and for better proceedings, please limit your questions per person a time. Thank you (Operator Instructions) We will begin to start the Q&A session now (Operator Instructions) your first question comes from the line of John Tumazos from Very Independent Research. Please ask your question.
John Tumazos – Very Independent Research, LLC: Certainly, thank you. There is a lot of commentary in the general press, China is slowing down are any of your end markets growing at a slower rates? First question. Second question, are any regulatory changes affecting you as might have been hindered November 10 after the third plant on?
Winston C. Yen: Yes, thank you very much for the questions, John. For the growth in China especially within the paper industry I believe the first thing we observed is that the printing paper even though they are at still growth as a matter of fact there are still predictions from industry analysts or organizations like VC, that – that put things to the effect that our printing papers still a growth business in China although at a slower pace. But we say that for example, in the last quarter printing papers momentum was slowing down. In fact, we believe that’s temporary in the long-term we are – we’re still confident that printing paper business will always be there in China and one of the difference between China and a lot of other countries in the world is that even though the city residents are improving their living standards, they’re pretty much living their life as we here in the U.S. have enjoyed. But, the mass majority of the population in the country side or in the rural areas of China are still trying to catch-up in terms of their per capita paper consumption. And I believe printing paper is one of these areas where there are still going to be potential for growth in China. For the packaging paper, of course it’s linked to the manufacturing activities of the country, but where the manufacturing sector of the economy has shown some like last year performance in recent quarters. If you look at the comments made by industry leaders like Nine Dragons Paper, they believe that they will become one of the beneficiaries of their version [ph] in e-commerce developments in China, especially toward the end of 2013 there has been a lot of emphasis on this tremendous growth of e-commerce in the Chinese economy a lot of people are changing their consumer behavior to shift toward buying stuff from the Internet than by buying from the physical stores. So, to the extent that e-commerce flourishes in China and more and more commercial products are being shift to individual consumers in packaged boxes. We believe that the massive consumption would probably come out to make up the loss of manufacturing activities demand for packaging paper. And on government regulatory actions, I don’t really see anything that’s affecting us right now, but I think the general consensus is that there are going to be more and more regulations to put down manufacturing companies including paper mills. We just think what these new regulations will be at this point. But, for example, the mandatory elimination of outdated capacity for 2013 I think even though we haven’t heard anything from Beijing right now, but everyone believes that there is going to be another wave of massive capacity eliminations for the rest of this year. I think that’s for sure. So we will update our investors about these government actions in China whenever information is available.
John Tumazos – Very Independent Research, LLC: Thank you very much.
Operator: Thank you for your question. Your next question comes from the line of Tim Clarkson from Van Clemens Capital. Please ask your questions.
Timothy James Clarkson – Van Clemens & Co., Inc.: Yes, just there is an enormous capital expenditures cycle going on here to create more capacity for your company, what’s the timeline were this capital expenditure is going to be basically largely completed and the company will start to create some free cash flow? What quarter or what year are we, is at the end of this year or beginning of next year that these major capital expenditures should be over?
Winston C. Yen: Currently the projects on the table are the first and second tissue paper in the Wei County Industrial Park. What we have in the pipeline as a matter of fact is potentially it’s possibly another packaging paper production line. This will be similar to the 360,000 tonne production line that we have installed in 2012. This will also be in the Wei County we actually have started planning for this packaging paper I think it’s going to be a CMP corrugating medium line in Wei County. But like you say, we have been taking a lot in our plates right now. So I would say for 2014 and maybe for the first quarter of – sorry, for the first half of 2015 we will not do anything that for our PM8 and PM9 tissue paper production lines. But one thing that I want our investors to understand is that, we are building the Wei County Industrial Park to be the future production base of Orient Paper and to do that we will like to increase the capacity of that industrial park. So that the investment in the infrastructures could be well recovered. So for example, if we could deal a large packaging paper production line in that industrial park that fixed cost for the current tissue paper production lines would actually the allocable potion of that fixed cost would greatly be reduced. So that’s basically our goal. As for timing of the next line beyond the two tissue paper line, we don’t really have any specific timeline yet, but I would pre-predict that’s probably beyond to 2015.
Timothy James Clarkson – Van Clemens & Co., Inc.: Would you expect say in 2015, that you would start of create some free cash flow?
Winston C. Yen: We hope so. One other things as we as you may see, we have put on a lot of debts in our balance sheets in our balance sheet as of the end of 2013. And for us to be able to complete all of these capital expenditure plans we will probably put on some more debt in 2014. So at some point toward the end of the year and in 2015 I believe we have to generate free cash flow for us to repay some of these debts. So I believe 2015 we really need to make sure that we generate some cash flow that is earmarked for repaying the debt that we borrowed in 2013 and 2014.
Timothy James Clarkson – Van Clemens & Co., Inc.: Okay, thank you.
Winston C. Yen: Thank you.
Operator: Thank you for your question. Your next question comes from line of [indiscernible]. Please ask your question.
Unidentified Analyst: Hello and hey congregations on yet another fabulous quarter. And as you know I’m a longtime shareholder of ONP, and just looking at the disparity of the share price at about $250 and the book value at over almost $9 a share I’m wondering what management is thinking can be done about by tracking new investors, may be some initiatives other than CapEx and also if there is any color you can shed on the FINRA Investigation that was done in 2013?
Winston C. Yen: Sure and thank you very much [indiscernible]. We – certainly are aware of this disparity between the intrinsic value of Orient Paper, and our stock price. And I believe what we have been doing in 2014 really is the long-term solution to eliminating this disparity which is aggressively expanding our capacity and make sure that Orient Paper enjoys the growth of its capacity and its business or its visibility in the Chinese paper industry so that in the eyes of the investors and analysts we come out with this critical mass as a bigger investment target. And of course we are aggressively targeting new investors not only in the United States but also in the Asia. I have to admit that in the last year also we have not put a lot of attention in promoting the company in the United States among potential investors. There are lots of reasons that I think why – why not these as the general – that the general impression of small cap Chinese companies in the U.S. investors has not been recovered from the – the dramatic effect of what happened in 2010 through 2012 by some problematic Chinese small cap companies. But we certainly believe that the atmosphere has changed. And so after we filed our annual report for 2013, we actually have a targeted plan to reach out to more U.S. investors, and see if we could get more recognition and attention in the investment community. We’re also working with our IR firm to outreach investor in other parts of the world including in Europe. So, those IR or PR plans will be implemented in Q2 and Q3 of this year and of course you – you can count on us that that we will we would go all the way out after our digital paper production line is up and running that’s when we will produce a new a couple of video and we’ll get a lot more stories to tell to potential investors.
Unidentified Analyst: Thank you. And then I guess just one, I know that there’s probably not much that you can even say on it, but many of your investors have believed that since the Muddy Waters Attack there’s also which was now, several years in the past, there’s also may have been some potential illegal may be manipulation of the share price, which there was a FINRA Investigation and I know FINRA won’t give any color on their investigations, but just wondering if that investigation is ongoing, or do you know if it’s closed, or where they are at with that?
Winston C. Yen: Yes that FINRA Investigation is something that we really don’t have a lot of control. Of course, we have submitted to FINRA some of our findings , and we have been contacting FINRA numerous times, trying to get an update or at least some hands as to where their investigation was heading. But unfortunately we were repeatedly told by FINRA that all of their investigations are non-public and the only chance that we will be able to get to know something out of it is, when they have for example, a prosecuted or disciplined any member of their organization and that’s when we will probably see news from their press release. So, it’s been a very difficult process. And I even learn that the person who took our complaint at FINRA has left that organization. So I think it just made this effort even more more difficult for us. So, at this point I really don’t have any new information to offer. But I can assure you that management have been monitoring our trading activities on a daily basis and if we have any new evidence to suggest that there is any improprieties in our trading activities we will certainly do whatever we can to provide the evidence that we have and then submit it to new regulatory agencies.
Unidentified Analyst: Well, thank you very much and again congratulations on just actually excellent year, quarter and we’re looking forward to more growth.
Winston C. Yen: Thank you.
Operator: Thanks for your question. Your next question comes from the line of Joe Furst from Furst Associates. Please ask your question.
Joseph Furst – Furst Associates: Thank you gentlemen, most of my questions were just answered in the previous answer, but I want to commend you on your growth and your operations and you have done a great job. And I just would add to it, I assume now because of the capital expenditures you go and allocate an M&A for buying back your stock but in light of the price of the stock and the asset value and the basic intrinsic value of the company, at what point might you consider doing that?
Winston C. Yen: Sure, thank you very much Joe. At this moment we believe our cash or any liquid asset should we first gain toward supporting our capacity expansion activities in the Wei County? That’s I think that’s where our hope for the future is. So, it’s really not a priority for us to consider corporate stock buyback at this point. But I would say that, if for any reason our stock prices start to fall as we have experienced that in parts of through 2011 and through 2012 of course we would try the best we can to evaluate the need to do some stock buyback. And of course, members of the management and some of our directors have never ruled out the possibility of perhaps doing another round of stock buyback at their personnel capacities. So those are always being monitored along their way. So, I would say that unless we see a steep decline in our stock price from where we are right now, we will probably not put the corporate stock buyback as a priority.
Joseph Furst – Furst Associates: Okay, I understand that. And having some of the principles buying back stock where there it’s still common and other investors and keep up the good work.
Winston C. Yen: Thank you.
Operator: Thank you (Operator instructions.) At this time there are no further questions in queue. So I’d like to hand the call back to Mr. Winston Yen, CFO for closing remarks.
Winston C. Yen: Alright. Thank you very much everyone, for joining this conference call. We invite investors to contact us if you have further questions. Please feel free to contact our IR team at IR@orientpaperinc.com. And we wish everyone a good day. Thank you.
Operator: Ladies and gentlemen, this concludes our presentation. Thank you for your participation. You may now disconnect. Have a great day.